Operator: Hello everyone and welcome to the Digital Turbine reports Fiscal Q3 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brian Bartholomew, Senior Vice President of Capital Markets and Strategy. Please go ahead.
Brian Bartholomew: Thank you, Steven. Good afternoon and welcome to the Digital Turbine fiscal third quarter 2018 earnings conference call. Joining me on the call today to discuss our results are Bill Stone, CEO; and Barrett Garrison, our CFO. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we file with the Securities and Exchange Commission. Also, during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today’s press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, it is my pleasure to turn the call over to Mr. Bill Stone.
Bill Stone: Thanks Brian, and thanks to all for joining today. I want to start my remarks with our progress against our stated goal. Our goal has been to build a sustainable and profitable business, while demonstrating solid execution against our strategy. I am pleased to report that we continued our momentum in the December quarter as we delivered our third consecutive quarter of positive adjusted EBITDA, while also delivering $1.4 million of positive free cash flow. We expect continued positive adjusted EBITDA and free cash flow growth into the current March quarter. I'll break out my prepared remarks [in short] revealing the past December quarter, some operational updates on the present March quarter and conclude with some strategic comments about future quarters. First on the operational performance, our overall revenues were $38 million, which compares to $27.9 million in the September quarter and $22.3 million in December, a year ago. In particular, our operator and OEM for O&O business finished at $22.7 million for the quarter, which was up 93% from the December quarter last year. This was primarily driven by success with our North American operators and a successful launch of the Samsung Galaxy Note 8. We got very good momentum with our O&O business and expect that momentum to continue into the current quarter. We also finished with more than 130 million devices now having Ignite on them, an increase of more than 23 million devices during the quarter. This is an important metric to demonstrate scale and network effects from our platform. Our Advertising and Publisher business, or A&P, finished at $1.5 million or now is only 4% of our total revenues. As I said on prior calls, there's been an intentional refocusing of our resources away from our lower margin A&P business to the higher-margin O&O business. Our content business more than doubled year-over-year and this represents our fourth consecutive quarter of double-digit sequential growth. We did see some modest negative revenue impacts in December as Telstra transitioned away from subscription services for traditional content types such as games, videos and music, and those services now migrated to event-based charging. This changes has already been in effect at Vodafone for most of 2017 and I'll provide some additional commentary on our Australian operations later in my remarks. Next, let me shift to some customer and partner updates from the December quarter. First, I want to discuss our advertisers. I've been pleased with the diversification of our advertisers. They are comprised of four main groups. First, our brands such as Starbucks, Bank of America and McDonald's. Secondly, our ecommerce players such as Amazon, eBay, NEO. Third, our gaming providers such as EA, Zingo, King, Machine Zone; and the final category, our utilities, like weather, stocks, flashlights, keyboards and so on. And while O&O total advertising growth approximately doubled, gaming-related revenues increased by approximately 10% in 2017 while non-gaming revenues more than tripled. In other words, we are diversifying our advertising mix across many different types of categories. Our scale is growing and we continue to be recognized as one of the top Android distributors of non-gaming applications in the U.S. just behind companies such as Facebook and Twitter. A key health metric of this advertising demand is our revenue per slots or RPS. RPS on high-end devices continues positive momentum as the RPS in North America was $0.42, which compares to $0.38 for high-end devices last year in the December quarter. In particular, we are seeing strong demand for the Note 8 with RPS of $0.48 in the December quarter. We still have work to do to improve our RPS performance both outside of the United States as well as on some lower-end devices here in the United States, but I am optimistic that the combination of adding additional sales people, additional third-party relationships and improved global campaigns will drive results. Next, I'll make some comments about our operator and OEM partners. I continue to be pleased at the overall growth of our largest North American operator, which grew revenues over 50% annually, but what is also encouraging is that operator’s percentage of our overall O&O gross profit continues to decline as we ramp our other O&O partners. While still a small percentage of total revenues, our growth of our OEM partners also showed nice progress in the December quarter with 60% sequential growth. Growing our OEM existing partners such as Motorola, Acer, BLU, Lenovo, Arcos and so on and launching new ones in the pipeline is a major focus area for our business. Now, I want to provide some updates on our current March quarter. We spent much of 2017 preparing our product intact to scale by adding more devices in new revenue streams. And as we enter 2018, we are now launching these capabilities into the market. Our number one focus continues to be profitably building our O&O business momentum as we believe this is the area with the most growth and opportunity for investors. We are continuing to work in this current quarter on strategic alternatives for both our content and A&P business. Specifically, we expect Telstra to exit the direct carrier billing business in its current form next month. While this represents a very low single-digit percentage of our gross profit dollars, it does impact our thinking on strategic options for the pay business as it represents more than $10 million a year in revenue. For O&O business, we've rebranded Ignite Delivers and is now called Single-Tap. I'm pleased to report that we are now launching our Single-Tap product across multiple global operators. Single-Tap is the ability for end consumers to download applications without having to go to the app store, while remaining whatever experience they're already in with that social media application, music application, game, news or so on. It’s still early days as we now have less than 10% of our addressable devices enabled, but we have launched with the tech end product we plan to scale. This is no longer a trial. It is now live. We anticipate it will take us the next few quarters to roll this capability out across our entire base, plus new partners as each partner has to integrate our software into their current environment. Thus, I don't expect this to be a material driver of results in the short-term, but an exciting development for the long-term and I'm proud of our product and tech teams hustle and execution to bring this live, scalable solution to the market. We've also launched a custom version of Single-Tap between a large social media platform and a large North American operator that can be integrated into other operators over time. This will allow our operator partners to maintain more control over their end-users, while still allowing the social media platform, the ability to improve their conversion to revenue and bring an improved end-user experience. The feedback or demand from the market has been fantastic for Single-Tap as our partner share our enthusiasm for the long-term opportunity. Another exciting development this quarter is the launch of new services that enable monetization, not just the first boot of the device, but over the entire lifetime of the device. New services like smart folders, exclusive app offers and notifications are all examples of these types of services. We're in the processes quarter of launching these with our O&O partners. As they launch, it will be a slower ramp of revenues, but we anticipate due to the recurring nature of these revenue streams, they will grow over time as more devices become enabled, plus receiving revenues from their devices that were already enabled in the past. And this leads to the final section of my prepared remarks about the future. The platform stories really generated traction in the marketplace. The combination of the additional devices, multiplied by the numerous revenue streams is what is exciting as this is how you deliver network effects from the platform. This current March quarter is the transition of taking the platform from a strategic story to now an operational and execution one. Thus, the keys for our success in the future quarter will be threefold. First, is adding more devices. As a company, we're making material investments around the globe to secure more operator and OEM agreements. Our recent announcement with Qualcomm is just a small example of this investment as we look to integrate our capabilities on as many devices as possible. In particular, we are focused on getting our software on open market devices with global OEMs. Secondly, is launching additional services and scaling the ones that have already launched. With our business, there's not a button that gets pushed to launch our services globally. We build software and then integrate it into our O&O partner environments. On one hand, this can be a tedious, nuanced and time-consuming process, but on the other hand, once it's complete, it really makes our solutions very sticky with our partners. And finally, its continuing the solid execution on our current business, which includes improving things like revenue per slot, advertising breadth, slots and overall delivery. We can't get distracted from all the exciting things in the future and take our eye off the ball from our current business. Our execution has materially improved from prior years and quarters and we have to keep that focus while simultaneously taking that improved execution and focus into the new opportunities. I want to conclude my remarks by saying that December was our best quarter in the history of the company. So, the short term is clearly in good shape, but the long-term is what I'm really enthusiastic and optimistic about. And what that, I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks Bill and good afternoon, everyone. We are pleased with the solid results delivered in Q3. I will briefly review our quarterly results and then finish with guidance for the fiscal year. In pursuit of our stated objectives of delivering sustainable profitability and positive free cash flow, we're pleased to report we achieved several important milestones this quarter. To start, the company reported it's third consecutive profitable adjusted EBITDA quarter, delivered $1.4 million in positive free cash flow and reported non-GAAP net income of $0.5 million, marking the company's first positive non-GAAP net income quarter. We're excited by the pace and trajectory of the company's performance and especially pleased with the progress of strengthening our financial position. Turning now to the financials, all of our comparisons are on a year-on-year basis, unless otherwise noted. Total revenue of $38 million in the quarter was up 71%, advertising revenue of $24.2 million grew 49% and within advertising, O&O revenue of $22.7 million grew 93%. O&O revenue growth in the quarter stems from a successful holiday season, primarily driven from our North American operators. Within advertising our A&P revenue was $1.5 million in the quarter, down 67% and represented less than 4% of total revenue mix. Content revenue of $13.8 million in the quarter grew 128% and as Bill mentioned, we experienced some headwinds on our lower margin pay revenue in the quarter as Telstra and Australian operating partner discontinued its subscription services and while Telstra represents less than 5% of gross profits, we do expect future pay revenues to be further impacted as Telstra is expected to exit the direct carrier billing business in the March quarter. Turning to margins, non-GAAP gross margin expanded to 27% in the quarter as compared to 24% for the same quarter in the prior year. While we continue to experience margin expansion through our continued momentum and mix shift towards our higher margin O&O business within O&O margins were negatively impacted by a North American partner achieving their maximum revenue-sharing performance here in the quarter. Expanding margins and accelerated revenue growth, enabled non-GAAP gross profit dollars to increase by $5 million year on year to $10.3 million in the quarter. Now turning to expenses, we continue to be pleased with the impressive expense scale in the platform, especially during periods of expansive revenue growth as we experienced in Q3. Total operating expenses for the third quarter were $10.3 million up 17% year-on-year. The year-over-year increase is largely due to accrued expenses for the company's annual employee bonus plan, which is tied to year-to-date performance through the third quarter. This type of expense was not earned or recorded in the prior year and this bonus liability is included within the deferred compensation line on our balance sheet. And before including this expense, total expenses would've been flat to prior year comprised of improvement in hosting and technology cost, offset by some modest growth in personnel cost in the organization, with a primary focus within our sales force. In the quarter, our adjusted EBITDA was positive $1.2 million up from a negative $2.1 million in the third fiscal quarter of 2017. We're pleased with this improvement of $3.3 million year-on-year and it also continues to demonstrate the inherent operating leverage in the business. Non-GAAP adjusted net income was a positive $0.5 million or positive $0.01 per share as compared to a net loss of $3.4 million or negative $0.05 per share in the third quarter of 2017. And as I noted earlier, this was an important milestone is it marks the first positive non-GAAP net income quarter for the company. Our GAAP net loss for the first quarter was $3.8 million or negative $0.05 per share based on 72.1 million weighted shares outstanding compared to a net loss of $2.6 million or $0.04 per share for the fiscal third quarter of 2017. Included in our GAAP net loss for the quarter is a recorded loss of $2.6 million from the impact of the change in fair value of derivative liabilities resulting from our convertible note, which is highly sensitive to the company's stock price. As a reminder, the derivative liabilities on our balance sheet will fluctuate as our stock price moves and may have a material impact on our reported GAAP financials. Now moving to the balance sheet, we finished the quarter with $6.9 million in cash, an increase of $1 million from the second quarter, inclusive of paying down $600,000 of the revolving credit line. Cash from operations generated a positive $1.9 million cash during the quarter and we incurred $0.5 million in capital expenditure cost, resulting in $1.4 million in positive free cash flow in the quarter, which is an important progress point for the company. The leverage in the balance sheet was further reduced in the quarter in addition to reducing the revolving credit line $1.4 million of convertible notes were converted by note holders in Q3, resulting in a reduction in the gross principal amount from the notes of $10 million at September 30, 2017 down to $8.6 million at the end of December 2017. Also, since the end of December, the company has received more than $2 million in additional conversion requests from existing note holders. To conclude, let me turn to our outlook for the full year fiscal 2018. We currently expect full year revenue of approximately $123 million, representing a year-on-year growth of 34% and we expect full year adjusted EBITDA to be approximately $2.4 million up from a negative $8.9 million loss for fiscal 2017 and expect to generate positive free cash flow for the full year fiscal 2018 period. In summary, the third quarter was exemplified by strong performance in further milestones reached and delivery of adjusted EBITDA growth, positive free cash flow and positive non-GAAP net income, while further bolstering our balance sheet and strengthen our financial profile. We're encouraged by and pleased with our financial performance in the embedded operating leverage in our business. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator instructions] And our first question comes from Mike Malouf with Craig-Hallum Capital Group. Please go ahead.
Mike Malouf: Great. Thanks for taking my questions and nice job this quarter. Very impressive. I wondered if we could just talk a little bit about the Single-Tap. Can you give us at least a little bit of insight on to the model and how we should be thinking about monetization of the Single-Tap as we go into fiscal '19?
Bill Stone: Yeah sure Mike, this is Bill. Our model basically be done in two different ways. One way will be a transaction fee that we'll get from the advertising partner that we do a deal with and so those advertiser partners that see improved conversion from Single-Tap. So, in other words, they show 100 ads and get 10 installs. Now they show 100 ads and get 20 installs. We'll be getting paid on the transaction fee for those installs. So, it pays for itself in their perspective because of obviously more efficient spend and it will receive that transaction fee will likely vary by geography. So, for example it would be a little higher here in the United States and we may see in some developing market in Asia for example. And so that's one way that we'll seize the model work. The other way is in the case I touched on the custom integration we did with a large operator and a large social media platform and in that case, the operators may have their own relationships with March social media platforms that we're integrated into and in that case, what you'll see is the mobile operator sharing their revenues back with us. So, in that case, it would be 100% gross margin for the revenues that will result from that, that will come back our way. In the long term I think we see the former model being the predominant but I think in the short term you'll see the latter one being.
Mike Malouf: Okay. Great. And then as far as rollout, how does this rollout, can you give us a little bit of color on that, for example you have carriers obviously and you have publishers. So, do you have to convince the publishers first or do you get the carriers on board and how do you see that plan out?
Bill Stone: Yeah so, we'll talk about the operators and OEMs first. This has obviously sound revenue for them and so to be able to go to an operator and OEM and say that any application that gets put on the device, you should be getting a cut of the revenue. It's something that obviously would resonate with them because today that's not the case. So, with them, what we do for the rollout is we take our existing Ignite software that's now been updated for Single-Tap and then we'll integrated into their environment. So, we do have to go operator-by-operator and OEM by OEM to do that hence the comments in my commentary about that taking us few quarters to do. But it's the same software in effect that we don't want. So, we don't have to keep rebuilding it, but just have to go through a lot of integration and testing. So that's the operator side. And then the advertiser and publisher side, we've really made this turnkey for them to support different ad formats whether it's video, interstitial banners, whatever it happens to be and really very little lifting required by them. Basically, they upload the campaign and then the device is digital turbine software on it. If yes, deliver the app. If no, then take it to the Google Play Store. So, it's a pretty low lift from their perspective. What they're looking for is just to ensure they can get the reach and as we talked about over 130 million devices, that's something that gets them excited.
Mike Malouf: And then just a quick question on guidance, you guided to about $31 million roughly for the March quarter, just given your yearly guidance. Can you give us a sense with regards to your comments on your content business, roughly what the content business is going to come down to given what's going on with Telstra?
Barrett Garrison: We disclosed in the Q, the amount of revenue in the quarter. Telstra made up about $5 million of total revenue but on a margin basis obviously on a pay revenue has a modest, has a much more modest margin and therefore, lesser contribution. We think we still have other impressive operators that will contribute in the pay space and we're watching that very closely Mike and we've considered that in our guidance obviously for the quarter, but we'll be monitoring that over the next few months here.
Mike Malouf: So, $5 million of Telstra will go ways over this quarter. So maybe that $13 million roughly goes to $10 million or $11 million this quarter and then in the June quarter goes down to $8 million. That's how I should think about it?
Barrett Garrison: Well there is a few parts in there, few moving parts with the timing of which some of these, some of the changes they've made or coming into place, but we think that revenue certainly especially for Telstra is removed and we don't see that as necessarily a growth area for us. But given the lower margins we don't think will be impactful to our objectives of free cash flow and EBITDA growth obviously.
Mike Malouf: Got it. Okay. Thanks for taking my questions. Appreciate it.
Bill Stone: Thanks Mike.
Operator: Our next question comes from Darren Aftahi with ROTH Capital Partners. Please go ahead.
Darren Aftahi: Hey guys. Thanks for taking my questions and let me add my congratulations as well. Just a couple if I may, on your Qualcomm relationship, can you talk a little bit about how we will be pushing mix from a integration perspective this is your own efforts on marketing and then a follow-up on platform?
Bill Stone: Yeah sure. So really with our Qualcomm relationship we think about it in two phases. The first phase and what we're starting out with today is really leveraging the Qualcomm strength of relationships in various regions around Asia, particularly in China to help us make progress with many of the Chinese OEMs that are having lot of traction around the globe. And for Qualcomm it offers them obviously additional services, additional revenues, differentiators that they're trying to provide against their competitors. So, it's a nice win-win relationship from a marketing, business development channel perspective. On longer term, our hope would be is that your Qualcomm as a Qualcomm reference design chipset and that chipset has capabilities on it regardless of OEM and there are some things that are on the operating system. So, the long-term ability to have our Ignite software on the Qualcomm reference design would be the goal for both parties, but that's a long-term goal. That's not something that's going to happen in the next few quarters, but obviously something that would be highly strategic for both sides.
Darren Aftahi: Got it. That's helpful. And then on the Single-Tap, so I'm curious collectively in the testing done, what kind of improved ad conversion rates have you see and will you get paid for the incremental i.e. at 50% conversion rate going to 55%. And then secondarily, is the portability of this applicable to IP devices that our mobile handsets like an IP enabled TV or something else where you get that opportunities, thanks?
Bill Stone: Yeah sure. So, in terms of the business model as I mentioned to Mike I can see it in two ways. One is we'll do things with our revenue share with the operator and it's their relationship with the social media platform and advertising partner. So that will be done on a retro basis back to us albeit at a 100% gross margin back to us. So that would be one. And then as it relates to our relationships on the Single-Tap platform that we're doing, I really see it being done on a transaction fee but I see the transaction fee being elastic. And what I mean by that is that as we see better conversions and improved performance, we'll be able to charge higher rates. If we don't see the conversion and performance obviously at the lower rates, then that will be matched up against geography and type of device, but nevertheless, it's not a fixed transaction fee. I see that just like our CPI or CPP rates in our current business today have elasticity based upon the performance of them. So, I see the similar thing here for Single-Tap. And then as it relates to other devices, absolutely, we look at smart phones today as just the fastest-growing biggest opportunity. There is roughly a billion of them that gets sold per year in Android. You can stack that up though against televisions, IOT, automobiles, tablets, anything with a screen on it and there's nothing preventing us from exporting that platforms. It's just going to be dependent upon the market opportunity, but it's just software going to different type of screen.
Darren Aftahi: Great. Thanks Bill.
Operator: Your next question comes from Sameet Sinha with B. Riley FBR. Please go ahead.
Lee Krowl: Hi guys. This is actually Lee Krowl filling in for Sameet. Couple of questions, first, could you guys just maybe update us on your average slot counts on a sequential basis and then maybe kind of talk as we look out into the future, how you see that trending?
Bill Stone: Yeah sure. So, our average stock count does vary by operator and it also varies by type of device depending upon the memory. It's on the device. As far as the large operators here in the United States we're usually averaging around five or six slots. I don't want to get lulled into an average of the averages here because again that can be much higher in certain devices and lower on other devices or other operators, but on average we see that as five to six and we see opportunities with some operators hear in the United States about a treaty going into the future. But I think there is a law of diminishing returns on that at some point I think as roughly around eight where being able to maintain RPS, maintaining consumer engagement etcetera becomes a little bit of overkill, but that's how we're thinking about it.
Lee Krowl: Okay. And then just in North America, it seems like you had kind of a quarter driven by outsized performance in a single carrier. I guess is that a right way to categorize it and then maybe beyond that single outperformer, could you maybe just comment on the rest of the carriers that are less in magnitude, but I'm sure, make up a decent chunk of that performance as well?
Barrett Garrison: So, to start with, we saw strong performance across our major North American partners across several of the major. So, there wasn't a particular stand out. You may have been highlighting a point on it. We did see one perform at a high level that reached a revenue share tier at a maximum level that I just commented on that, that influenced the margins in the quarter. But across the Board we saw consistent strength in our North American partners.
Lee Krowl: Okay. And then one question on content. So, I know you guys mentioned Vodafone is now complete and Telstra will be fully rolled off in the March quarter, but can you just remind us, are there any other existing contracts out there that are also kind of maybe I don't know, I want to call it risk, but will also roll off in the future.
Bill Stone: Yeah, so on the pay side, it remains to be seen what if anything the other Australian operators do as a result of this. We don't have any reason to believe or any information that says any other than they want to, continue to grow the relationship with us. But obviously with the Telstra announcement, we'll keep a very close eye on that, but I want to contrast that with the Ignite contracts that we have that are all multiyear deals in a much more sticky situation with our software in terms us on the phone. So, I think it's important for investors to delineate between the two different types of contracts because they are very different.
Lee Krowl: Okay. And then I guess you outlined very initial stages and more of a opportunity to leverage the OEMs, but is the Qualcomm relationship I guess, does it generate revenue in the current quarter or is it more of just a way to expand with OEMs and so revenue is a little bit more delayed? Just trying to get a sense on the revenue opportunity from this announcement.
Bill Stone: Yeah, so how I think about the revenue opportunity from Qualcomm in the very short term would be de-minimus. It's not really -- don't expect anything in the very short term from that. However, as we go forward in time and as I mentioned one of the key strategic priorities for us in future quarter to really enhance the network effects from the platform is to get more software on more devices. And so, for us to do that and especially in many Asian countries where we want to go to people -- go where people already have strong relationships with OEMs, obviously Qualcomm is one of these companies and can help us from a channel perspective to accelerate our efforts from a business development perspective. So that's it's given the Qualcomm relationship and so our anticipation would be as we look forward later in the year, we will see some contribution from those relationships that Qualcomm brought us, but they keep in mind we're collecting the revenue and paying Qualcomm, not the other way around.
Lee Krowl: Got it. That's helpful. Thanks guys.
Operator: Our next question comes from Jon Hickman with Ladenburg. Please go ahead.
Jon Hickman: Hi. Can you hear me okay?
Bill Stone: Yeah, we got you Jon.
Jon Hickman: Okay. So, you mentioned that there were two kind of monetization strategies with the Single-Tab and the near-term one was this custom version with operator in a social media company. So, could you tell us when that, how is that rolling out, that appear to be a more near-term opportunity than the other version?
Bill Stone: Yeah, sure Jon. So that is just literally recently rolled out in the last -- literally in the last week or so and so we're just in the process of getting our legs on that one on the top I call the top of the first inning with that relationship. It's rolling across a single device. We expect that to roll across the entire device lineup from that operator as we go forward in the upcoming weeks and months. And then that operator will be paying us a revenue share that they're receiving from their deal with a social media platform.
Jon Hickman: So that's live right now.
Bill Stone: I am sorry?
Jon Hickman: So that's live right now on one device.
Bill Stone: Yes, that's live right now.
Jon Hickman: Okay. All my other questions have been answered. Thanks.
Bill Stone: Thanks Jon.
Operator: Our next question comes from Ilya Grozovsky with National Securities. Please go ahead.
Ilya Grozovsky: Thanks guys. Nice quarter. Just on that on the Single-Tap just wanted to clarify. So, with your social media partner, if the user used taps on it and there's a revenue the social media company shares with you, do you have to share anything with the carrier that's performance based on?
Bill Stone: Yes. So, we'll turn around in where the origin of the relationship came from. So, if that relationship started with an OEM, then we'll share that revenue with the OEM. If that relationships are with the carrier, then we'll turn around and share that relationship with the carrier.
Ilya Grozovsky: Is there any scenario where you don't share it with either an OEM or a carrier because you have a relationship directly with social media company?
Bill Stone: Yeah, there will be definitely some edge cases that there will be some opportunity for 100% gross margin for us, but right now we're focused on rolling it out through our operator and OEM partners because they're really key in the Single-Tap business, it's going to be scale. And it's a scale business and doing this across one million devices is an interesting 10 million, little bit more or 100 million, 200 million, then things start becoming interesting. So, with the scale economics that go with that. So, we're really focused on getting this to cast widest as possible with this. So hence working with the OEM partners is going to be important.
Ilya Grozovsky: Got it. And then for Barret, just housekeeping international revenues in the quarter, what was the percentage of overall?
Barrett Garrison: Yeah, we were approximately across all our product lines including pay. Our international business represented just below 40%.
Ilya Grozovsky: Great. Thanks again, guys.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Bill Stone for any closing remarks.
Bill Stone: Great. Thanks everyone for joining the call today. We look forward to reporting on our progress against all the points made on today's call and we'll talk to you again on our fiscal fourth quarter earnings call later this year. Thanks, and have a great night.
Operator: The conference has now concluded. Ladies and gentlemen, thank you for attending today's presentation. You may now disconnect.